Operator: Thank you for standing by, and welcome to the LexinFintech Holdings Limited Second Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to Mr. Will Tan. Please go ahead.
Will Tan: Thank you, operator. Hello, everyone. Welcome to our second quarter 2025 earnings conference call. Our results were released earlier today and are currently available on our IR website. Today, you will hear from our Chairman and CEO, Mr. Jay Wenjie Xiao, who will provide an update on overall performance and the strategies of our business. Our COO, Mr. Arvin Zhanwen Qiao, will then provide more details on our risk management initiatives and updates. Lastly, our CFO, Mr. James Zheng, will discuss our financial performance. Before we continue, I would like to refer you to our safe harbor statement in our earnings press release, which also applies to this call as we will be making forward-looking statements. Last, please note that all figures are presented in renminbi terms, and all comparisons are made on a quarter-over-quarter basis, unless otherwise stated. Please kindly note, Jay and Arvin will give their whole remarks in Chinese first, then the English version will be delivered by Jay's and Arvin's AI-based voices. With that, I'm now pleased to turn over the call to Mr. Jay Wenjie Xiao, Chairman and CEO of Lexin. Please.
Wenjie Xiao: [Interpreted] Thanks for joining us today for our second quarter 2025 earnings call. We're delighted to report another quarter of high- quality growth. The company has successfully executed the transformation towards a business model driven by data analytics, risk management and refined operations. Despite macroeconomic uncertainties, our prudent strategy has led to continued profitability recovery and sustainable growth. In the second quarter, total GMV reached RMB 52.9 billion, a quarter-over-quarter growth of 2.4%. Revenue increased by 16% to RMB 3.6 billion. Net profit reached RMB 511 million, representing quarter-over-quarter growth of 19% and year-over-year growth of 126% a record high in the past 14 quarters. The excellent quarterly results are driven by the sustained improvement of asset quality and resilient growth across our business ecosystem. The management has always placed great emphasis on shareholder returns and remains committed to improving shareholder returns through various means. Starting from the second half of this year, our cash dividend payout ratio is raised from 25% to 30%. Also, in July, the company announced a $60 million share repurchase plan to be executed within the next 12 months. These measures will further raise the company's shareholder returns above the industry average level. Now let me introduce the specific business progress we have made in the second quarter. First, our unique business ecosystem has sustained strong growth, which has enhanced our competitiveness and strengthened our operational resilience. Our installment e- commerce business focuses on the essential consumption needs of young customers. In the second quarter, we comprehensively upgraded our supply chain and partnered with dozens of top-tier brands to expand our product matrix. Also, we fully tapped into the users' diverse consumption demands through 2 merchandising categories, high-quality offerings and factory outlet products. In addition, based on our user insights, we developed and optimized our hyper-personalization approach to customize operation and risk strategies for different segments of customers. During the June 18 shopping festival, our e-commerce GMV increased by 139% year-over-year, putting this business firmly on a rapid expansion path. For off-line inclusive finance business, we strengthened localized operations and expanded our business into lower-tier cities. By adopting customized risk management and differentiated competition strategies, enhancing our service capabilities and improving our efficiency to serve small and micro business owners, the profitability of inclusive finance business achieved steady sequential growth. For online consumer finance business, we accelerated its development by partnering with multiple leading platforms to secure a favorable market position, laying a solid foundation for future growth. For our tech empowerment business, we leveraged our standardized systems and risk management expertise to help partner banks efficiently connect with major platforms, enhancing their data-driven risk management capabilities and have gained wide recognition from our partner banks. During the quarter, the business saw a significant increase in business volume and number of users, maintaining robust growth momentum. For overseas business, we continue to strengthen mid- and back-end capabilities, making notable progress during the quarter. It delivered substantial quarter-over-quarter growth in both business volume and revenue for multiple consecutive quarters. Second, we strive for product service excellence to drive the growth of quality user in our online credit business. In the second quarter, we expanded our product portfolio, offering users competitive terms and flexible repayment options to meet their product and service needs throughout the full life cycle, significantly increasing user engagement. For prime customers, we launched a product with more competitive pricing, upgraded Legend card, catering to their demands for on- demand borrowing and repayment with daily interest calculation. The product has been well received since its launch. For qualified small and micro business owners, we partnered with banks to introduce products with flexible terms further reducing financing costs and precisely meeting the needs of the segment. Third, AI further enhanced our business quality and efficiency. Our locally deployed large AI models have been deeply applied in multiple business scenarios. For example, in post-loan management, the intelligent data-driven platform has achieved full process end- to-end AI support, ranging from case allocation and collection operations to customer operation and repayment strategies, effectively improving the post-loan collection rate. The company's self-developed AI agents have also made significant progress with 50 AI agent roles currently deployed in key business areas such as operational strategy generation, credit strategy review and automated monitoring, greatly enhancing our operational. The company adheres to a user-centric philosophy and strives to enhance consumer satisfaction and trust by optimizing user service and experience and responding to user needs efficiently. We remain focused on the top-level design and long-term mechanisms for consumer rights protection governance, integrating consumer rights protection into all business processes. Also, we have built a proactive consumer rights protection system to advance the high-quality development of consumer rights protection. During the quarter, we increased technology investment in consumer protection and have refined over 50 digital and model-based tools to improve service response and user satisfaction. Looking ahead, we will maintain stable business scale, further reduce risks and sustain profit growth in the third quarter. Although the new regulation of loan facilitation, which is to take effect in the fourth quarter may bring some changes to the industry, we believe it will foster the healthy development of the industry, particularly benefiting platforms like [indiscernible] that place high importance on compliance. We will strengthen our business ecosystem synergy to build a unique competitive advantage and ensure continued business growth. As such, we maintain our full year guidance of achieving significant year-over-year profit growth. Now I would like to give the floor to our CRO, Arvin.
Zhanwen Qiao: [Interpreted] Thanks, Jay. Next, I will provide a review of our key initiatives and achievements in risk management for the second quarter. In the second quarter, while the macroeconomic and industry environment remained complex and uncertain, we took swift action to address the potential impacts and maintain the downward trend in risks. Specifically, we focused on identifying customers vulnerable to industry fluctuations and taking measures to mitigate potential risks. Also, we adopted interactive reoffers to drive the increase of high-quality asset volume. In addition, we leveraged large models to upgrade our risk management capabilities, improving the efficiency of risk decision-making and the accuracy of pricing and credit line strategies. Thanks to the initiatives we've taken, risks of both new and overall assets continue to decrease. Leading risk indicator for new loans, first payment default, FPD, over 7 days of the second quarter declined by about 5% compared to the previous quarter. On total loan portfolio, day 1 delinquency ratio decreased by about 2%- and 90-days delinquency ratio decreased by 6% quarter-over-quarter. I will introduce in detail the key initiatives we've taken for the second quarter. First, in terms of risk identification, we continue to optimize data models in the second quarter, focusing on identifying customers who are vulnerable to industry fluctuations and mitigating potential risks. Based on the accumulated data on time series changes of credit risk across multiple credit cycles, we employed causal inference techniques and scenario simulations to develop a risk identification model that assesses customers' risk sensitivity to environment changes. The model has proven to be highly effective. Among customers of the same risk rating, those who are identified as highly sensitive exhibit 1.5x risk level of low sensitivity customers in the current environment. In addition, we focused on using data that shows greater stability features such as customer profiles, job stability and personal asset status to enhance our predictive capability for long horizon risks, thereby providing more reliable credit services to high-quality customers. Second, we continue to strengthen risk management through preventive and proactive approaches. For customers identified by our model who are vulnerable to external environment changes and show higher risks, we've promptly taken measures such as reduction or suspension of their credit lines in order to mitigate the potential impacts of industry risks. Meanwhile, we continue to enhance the competitiveness of offers for quality customers. In the second quarter, we launched a mechanism for customers to supplement credit enhancement documents, conducted personalized real-time reoffering, which combines machine review and manual review and launched upgraded Legend card, a new financial product featuring higher credit amount and lower fee rate. These measures helped drive the asset volume of prime customers and number of active customers to increase quarter-over-quarter. In the third quarter, we will continue to strengthen the risk management strategy that combines preventive and proactive approaches to sustain the risk reduction trend while expanding high-quality assets and customers. Third, in terms of e-commerce, we further upgraded the risk management system for e-commerce, which is an independent system from online consumer finance business. Specifically, we established millisecond level real-time risk decision-making capabilities across key processes, including search recommendations, offer matching, credit approvals and reoffer, et cetera. This ensures we meet customers' diverse consumption needs while maintaining risks well under control. Based on the independent risk management system, the risk identification capability of e-commerce platform improved by over 30% compared to the previous quarter. Approval rates for credit application and order placement of platform users, especially quality users, have significantly increased, which has promoted the rapid growth of e-commerce business. Last but not least, we continue to strengthen the development and application of intelligent risk management tools. Leveraging the latest AI large models, we have developed and implemented the credit line robot and pricing robot, which has delivered favorable results. The credit line robot has improved the efficiency and effectiveness of credit line decisions, while the pricing robot significantly improves the volume growth from pricing reduction by establishing price curves based on experimental data and dynamically optimizes pricing strategies. In the future, we will continue to explore the application of large models in risk management, advancing our capabilities from quantitative risk management to intelligent risk management and building a leading edge in risk management capabilities. In the third quarter, while external uncertainties and industry fluctuations remain, we will continue to strengthen our capabilities in automated high-risk asset screening and resolution, further refine credit approval and lending management and enhance customer onboarding and transaction management while swiftly addressing high-risk assets. In the meantime, we will further optimize credit approval and credit line granting strategies to better meet the needs of quality customers, improve user experience and foster continued quality assets growth. These efforts are aimed at ensuring that key risk indicators remain on a downward trajectory. Next, I will hand over to our CFO, James, to provide a review of the company's financial performance for the second quarter.
Xigui Zheng: Thanks, Arvin. I will now provide a detailed overview of our second quarter financial results. Please note that all figures are presented in renminbi terms and all comparisons are made on a quarter-over-quarter basis, unless otherwise stated. We are pleased to announce another quarter of solid financial performance, marked by robust revenue growth, sustained profitability and expanding margins. We are on track on our profitability recovery trajectory. Revenue recorded RMB 3.6 billion in the second quarter, representing a 16% increase quarter-over-quarter. Net income grew strongly by 19% quarter-over-quarter and 126% year-over-year to reach RMB 511 million. Our net income margin increased to 14.3% from 13.9% last quarter. Net income take rate, calculated as annualized net income divided by the average loan balance increased 34 basis points to reach 1.92%. The net income, net income margin and net income take rate kept reaching record highs for the past 14 quarters, laying a [indiscernible] profit expansion. This set of financial results underscore our ability to turn around and drive sustainable growth in the dynamic market conditions. To gain a clearer understanding of our business growth dynamics, let's take a holistic view of our financial results. First, if we add up credit facilitation service income and tech empowerment service income, net of credit cost, including the provisions and the fair value changes and the funding costs, we come up with a net revenue of the credit business. The net revenue provides a more accurate reflection of our credit business performance as it absorbs the impact of a different accounting treatment for capital-light and capital-heavy business as well as the shifting mix across quarters. In the second quarter, the net revenue of our credit business increased by 10% or RMB 183 million to RMB 2 billion. The net revenue of our e-commerce business, defined as the e-commerce revenue net of cost of inventory sold increased by 71% or RMB 40 million to RMB 97 million. So, the total net revenue added up to RMB 2.1 billion. Operating expenses, including sales and marketing, research and development, general and administrative expenses, processing and servicing costs, tax and others increased by 9.8% or RMB 142 million to RMB 1.6 billion. So, if we deduct total expense of RMB 1.6 billion from the total net revenue of RMB 2.1 billion, we get a net income of RMB 511 million, increased by 19% or RMB 81 million quarter-over-quarter. Driving the second quarter's strong financial performance are the following 3 business highlights, namely the flexible volume shift between business models, continued improvement in asset quality alongside sufficient provisioning and a robust growth in our e- commerce business. Now let me elaborate more on the 3 business highlights. First, flexible volume shift between business models highlights operational resilience, driving stable growth in volume, revenue and net profit. From a unit economics perspective, net income take rate achieved 1.92% this quarter. The 34-basis point improvement quarter-over-quarter is mainly driven by an 82-basis point increase of revenue take rate of credit business, which is calculated by dividing the net revenue by the average loan balance. During the quarter, the net revenue take rate of credit business increased from 6.69% to 7.51%, the increase was mainly driven by the increase of APR of capital-heavy model, which increased to 23.2% in the second quarter from 22.6% last quarter and also the stabilization of early payoff impact happened during the last quarter, partially offset by the increase of funding costs. The improvement of net revenue take rate reflects our business resilience in a dynamic and complex environment. In the second quarter, we have observed a reduction in the supply of funds for capital-light business due to the fluctuation related to the new regulation, leading to higher funding costs for both capital-light and capital-heavy models. To offset the impact, we proactively adjusted our business mix, switched more loan volumes from capital-light model to capital- heavy model. In the second quarter, the capital-light model accounted for 20% of GMV, decreased from 27% in the first quarter, mainly driven by the decrease of loans from ICP model, which only accounted for about 15% of GMV decreased from 24% in the first quarter. The proportion of capital-heavy model increased to 80% from 73% in the first quarter. As you know, the borrowers from capital-light model typically have lower -- typically have relatively higher risk profiles to reflect this risk premium, the average APR of new loans under capital-heavy model increased. At the same time, the provision increased due to the increase of loans under capital-heavy model. The smooth switch was supported by our enhanced risk management capability, which equipped us to accurately assess borrower risk, enabling risk pricing and product offering to optimize profitability and volume growth. Second, asset quality sustained the improvement trend, and the provision remained prudent and sufficient. Our asset quality has continued to improve for 4 consecutive quarters. In the second quarter, 90-day delinquency ratio declined by 16 basis points to 3.1%. FPD 7 of new assets further came down by about 5%. Day 1 delinquency rate of total assets also decreased by about 2% quarter-over- quarter. Also, our provision remained prudent and sufficient. As mentioned above, in the second quarter, our total credit cost, including 3 provisions line items and the fair value changes of financial guarantee derivatives increased by 13.6% quarter-over-quarter despite improved asset quality and a decreased loan balance. It is important to note that due to the net accounting policy we have adopted for change in fair value of financial guarantee derivatives and loans at fair value account, the amount was partially offset by guarantee income and recorded as a net value in our P&L. As such, it only represents part of the actual full provision. As another indicator of the sufficiency of our provisioning, our provision coverage ratio remained ample at 270%, up by 2 percentage points quarter-over-quarter and reached the highest level in the last 4 quarters. Third, e-commerce business gained further traction. Our e-commerce business is deeply integrated into our ecosystem, creating strong synergies and therefore, becomes a unique competitive advantage. E-commerce [VINs] not only generates gross profit by selling merchandise but also creates interest income by providing installment services to customers. Around 97% of e-commerce customers choose to finance their consumption with our installment service. In the second quarter, e- commerce GMV witnessed a substantial quarter-over-quarter growth of 80% and year-over-year growth of 117%. E-commerce [VIN] gross profit recorded RMB 97 million in the second quarter, up 71% quarter-over-quarter. Going forward, we continue to expect a strong sequential GMV growth for the e-commerce business. Next, I'll go through some specific financial statement items. For our income statement, on the revenue side, total revenue reached RMB 3.6 billion, representing a growth of 16% quarter-over-quarter. Credit facilitation service income amounted to RMB 2.3 billion, up 4% quarter-over-quarter, driven by the increase of loan volume and the capital-heavy model, higher APRs and partially offset by the higher funding costs. Tech empowerment service income increased by 33% or RMB 205 million to RMB 830 million, mainly thanks to the release of provisions of revenue and ICP model, reflecting better-than-expected asset quality performance and increased income from our referral services. E-commerce platform service income increased by 69% to RMB 487 million, driven by increased GMV. On the cost and expense side, total operating expenses, which include processing and servicing costs, sales and marketing, research and development expenses, general and administrative expenses increased by 10% to RMB 1.4 billion, mainly driven by the increase of sales and marketing expenses and processing and servicing costs. For balance sheet items, as of June 30, our cash position, which includes cash, cash equivalents and restricted cash was approximately RMB 4 billion. Shareholders' equity remained solid at about 11.6 billion. Looking ahead, despite ongoing market uncertainties and evolving operating environment, the management maintains its full year guidance of achieving a significant year-over-year growth in net income. Furthermore, we remain committed to enhancing shareholders' value as demonstrated by our recent $50 million share repurchase program and $10 million CEO share purchase announced in July. The Board has approved a cash dividend of USD 0.194 per ADS for the first half of 2025. The share repurchase program, together with our dividend policy, boosted our total shareholder return to above industry average level. Going forward, we will continue to evaluate opportunities to ensure we deliver optimal value to our shareholders. This concludes our prepared remarks for today. Operator, we are now ready to take questions.
Operator: [Operator Instructions] Your first question comes from [Emma Xu] with BofA Securities.
Unidentified Analyst: [Interpreted] So, congratulations on the good result amid a challenging environment. So, I have 2 questions. The first one is about the new regulations. So as the new regulation loan facilitation has been rolled out for a few months, what impact has the company observed? And what measures will you take to address the impact? The second question is about the ecosystem. So, the ecosystem has developed rapidly in the second quarter. So, could you share more on the development strategy and outlook of your ecosystem business?
Wenjie Xiao: [Interpreted] Thanks for the question. Yes, the new regulation on loan visitation has been rolled out for some time, but not yet. We think the industry has been impacted by this. So, in the short term, we did observe funding supply tightened, which led to an increase in the funding cost of the second quarter. And also, some risk metric experienced minor fluctuations. For example, collection rates did decrease a little bit. To address the impact, actually, we have taken proactive actions as early as in April. More specifically, we tightened our risk management strategies to mitigate the potential impact of sector-wide fluctuation. So, as I mentioned, collection rate decreased a little bit, but our day 1 delinquency also decreased the impact offset each other. Furthermore, leveraging our unique [indiscernible] advantages, we have the flexibility to adapt our business model to navigate the challenges. In the long run, the implement of the new regulation will bring some changes to the industry, but it will focus more standardized, sustainable and healthier industry environment, which benefits compliance platforms like Lexin. In the past, we also experienced different several rounds of regulation and I think we have the experience and flexibility to adjust our business model to navigate the challenges. For Lexin, we support regulators' efforts to supervise and factor and will continue to adhere to our customer-centric philosophy, enhance our ecosystem synergies and ensure continued business growth. As such, we maintain our full year guidance of achieving significant year-over-year profit growth. And regarding your second question about our development of the business ecosystem, actually, our business ecosystem achieved various progresses. For our installment e-commerce business, I would like to stress that is the first installment e-commerce platform in China and have been developing this business for over a decade. It has been a crucial part of our ecosystem. And as part of our transformation towards a business model driven by data analytics and risk management in the last year, we have built an independent risk management system for the e-commerce business. So, you can see in the past several quarters, our e-commerce loan origination volume has sustained a significant growth, particularly in the June 18 shopping festival, our GMV increased by over 100%. And for our offline business, we will continue to expand our business into lower tier cities. And just to emphasize that this channel, we target at serving the small and micro business owners. And the differentiated advantages of this is that we have our own proprietary self-developed direct sales team. And in the second quarter, we cooperated with several new partners, helping them to connect with large platforms and banks and improve their digital risk management capability. For our tech empowerment business, leveraging our standardized system and risk management expertise will continue to help them to connect to the large platforms and to enhance their customer acquisition capability. For our overseas business, we have delivered quarter-over-quarter sequential growth in both business volume and revenue for multiple consecutive quarters. And as said, we'll continue to enhance team development in order to sustain healthy and sustainable growth.
Operator: Your next question comes from Alex Ye with UBS.
Huanan Zhou: [Interpreted] My first question is on [indiscernible] so, in light of the current uncertain external environment driven by the regulatory change, how does Lexin's risk management system can help you better respond to potential risk fluctuations? And second question is on regarding your take rate -- ongoing take rate improvement. Could you also give us more color on the drivers on the underlying net rate improvement?
Zhanwen Qiao: [Interpreted] In response to uncertainty of the industry rate performance arising from the new loan facilitation regulation, we actually take proactive measures as early as in April. So, we tightened the risk approval standards as early as in April for new customers in order to maintain a downward trend for new risk. And for vintage of existing loans, we improved the early reminders for the loan repayment in order to reduce the day 1 delinquency. Also, we implemented targeted measures for customers vulnerable to industry rate fluctuation -- for customers identified as high rate sensitive by our models, we've taken measures such as reduction and suspension of their credit line to mitigate the potential impact of sector-wide rates. This has helped maintain a steadily improving rate performance. Second, we continue to drive high-quality asset growth, which will lay a solid foundation for our future high-quality development. We leverage advanced AI models to enhance our risk management system. We also refined customized pricing strategies, which has increased the competitiveness for prime customers while improving the overall user experience, further supporting our high-quality asset growth. So overall, we not only reduce the high-quality -- we not only reduce the formation of high-quality assets but also try to drive the growth of high-quality assets. We also strengthened provisioning to our risk buffer, enhancing our capability to cope with future uncertainties. In the second quarter, we increased provisioning by 13.6% to RMB 1.04 billion. The reinforced provision along with improved risk performance drove our provision coverage ratio to rise to 270%. To summarize, we will continue to prioritize high-quality asset growth while also enhancing provisioning and maintaining a steadily improving risk performance. In the meantime, we -- while we continue to strengthen risk identification and management, we will also ramp up the application of intelligent risk management tools to increase efficiency.
Xigui Zheng: Okay. I will take the net profit take rate question. Almost a year ago, we told the market that thanks to the company's turnaround initiatives, we will be able to gradually improve the business profitability, and this will be reflected in our net profit take rate. And I'm happy to tell you that in the last 4 quarters, we have successfully delivered the promise of improving 20 to 30 basis points each quarter to reach 1.92% in Q2. We're now on track for the goal by the end of the year. As for Q2, really the credit goes to the strong revenue growth from both the credit and e-commerce business, as I mentioned in my prepared script. Specifically, the net revenue of our credit business increased by 10% quarter-over-quarter or about RMB 183 million to RMB 2 million. As a reminder, as I mentioned earlier, if we add up the credit facilitation service income, the tech empowerment service income, net of credit costs, including the provisions and fair value changes and the funding cost, we come up with the net revenue for the credit business. So, if you further break down to the next level, the net revenue of the capital-heavy model remains stable, driven by the increase of loan volume under the capital-heavy model, higher APRs and partially offset by higher credit costs and funding costs. By the way, as Arvin mentioned earlier, the increase of credit cost is mainly driven by our prudent provisioning policy. The net revenue of capital-light model, on the other hand, increased by 33% quarter-over-quarter or about RMB 205 million to RMB 830 million, mainly thanks to the income from our referral services and from the release of provisions of revenue under the ICP model. This really reflects the better-than-expected asset quality performance within the ICP. So, in addition to the credit business, the net revenue of our e-commerce business, defined as the e-commerce revenue net of the cost of inventory increased by 71% or RMB 40 million to RMB 97 million, also contributing to the increase of our profitability. So, with the strong increase of revenue, offsetting by some increases from the operation costs and expenses, we get the net profit take rate of 1.92%, a 34-basis point higher than the previous quarter. This fully demonstrates the uniqueness and the strong growth potential of our diversified business ecosystem. Looking forward, for Q3, we continue to expect relatively stable volume, improved risks, strong quarter-over-quarter net income growth. Therefore, we continue to expect the net income take rate will improve in a similar pace as before.
Operator: Your next question comes from Alan Chen with Citibank.
Unidentified Analyst: [Interpreted] This is Alan from Citibank. I just have a quick question on shareholder return. I noticed that in July, you have announced a $50 million share repurchase program. Just wondering, management, if you could give us a little bit more color on the thought process and rationale behind the buyback program. And on top of that, if management has any plan to further boost shareholder return in the future?
Wenjie Xiao: [Interpreted] On July 21, we announced a $50 million share repurchase program to be executed over the next 12 months. In addition to that, I plan to purchase up to USD 10 million worth of shares using my personal funds. If the company's repurchase program is fully executed alongside the key increases in the cash dividend payout ratio, our total shareholder return will rise above the industry average. With a forward PE ratio below 4x, the company has compelling investment value. This repurchase program underscores the management's confidence in the company's outlook and reinforces our commitment to delivering value to our shareholders. In terms of repurchase execution, we will implement the program after the second quarter results release and will strictly follow repurchase rules while taking into account market conditions. We will make regular updates on repurchase progress in our quarterly earnings release. As I said, the company values shareholder return and we will continue to explore various means to deliver value to our shareholders.
Operator: Thank you. That does conclude our question-and-answer session. I'll now hand back for any closing remarks.
Will Tan: Thank you. This conference is now concluded. Thank you for joining today's call. If you have any more questions, please do not hesitate to contact us. Thanks again. [Statements in English on this transcript were spoken by an interpreter present on the live call.]